Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Clearwater Analytics third quarter 2024 financial results conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question and answer session. I would now like to welcome Joon Park, Head of Investor Relations, to begin the conference.
Joon Park: Thank you, and welcome everyone to Clearwater Analytics' third quarter 2024 financial results conference call. Joining me on the call today, as usual, are Sandeep Sahai, Chief Executive Officer, and Jim Cox, Chief Financial Officer. In addition, Subhi Sethi, our Chief Client Officer, will also join the call, introducing herself to investors. After their remarks, we will open the call to a question and answer session. I would like to remind all participants that during this conference call, any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, intentions, and expectations, including in relation to business outlook, future financial and product performance, and similar items, including without limitation, expressions using this terminology may, will, can, expect, and believe, and expressions which reflect something other than historical facts are intended to identify forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the risk factors section of our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in our earnings press release. Lastly, all metrics discussed on this call are presented on a non-GAAP or adjusted basis unless otherwise noted. Reconciliation to GAAP results can be found in the earnings press release that we have posted to our investor relations website. With that, I'll turn the call over to our Chief Executive Officer, Sandeep Sahai. Thank you, Joon.
Sandeep Sahai: I'm pleased to report that Q3 2024 was a truly outstanding quarter for our company. We continue to make solid progress on the growth initiatives we have been working on, and it is very rewarding to deliver these financial results. Revenue for the quarter was $115.8 million, a 22.4% year-on-year increase. Our annualized recurring revenue (ARR) grew by 26.1% year-on-year to $456.9 million. As I am sure you will agree, these are really strong growth numbers. Since the acquisition of the virtual asset is so new, we can measure its impact separately this quarter. So excluding the impact of the Wilshire ARR, ARR grew 24% year over year. The backbone of our growth story is our best-in-class gross revenue retention. For the last 22 out of the 23 quarters, our GRR has been 98% or higher. And for the last three quarters, we have recorded a 99% gross revenue retention. That is extraordinary. Next is the upside from AUM growth. After a long and sustained period where AUM expansion provided a gentle tailwind to ARR growth, it turned into a real headwind in 2022. You may recall the extensive work we did on the restructuring of our client contracts. We worked very hard to limit our downside while ensuring that we shared in the upside with our clients. It is very rewarding to see that effort bear fruit in this quarter and provide a gentle tailwind to our growth. New logos have long been a driver of growth, and we continue to see significant runway in each of the markets we serve. The North American insurance, asset management, and asset owner markets continue to be important levers for growth. Increasingly, though, we see the international markets as an emerging engine for growth. And I am very encouraged to report that we see continued and sustained expansion in both booking and pipeline. To support our growth in Europe and Asia, we have been very fortunate to add exceptional talent to our leadership ranks with four strategic hires. They include Adrian de Lagrange as Head of Sales in France, Belgium, and Luxembourg, Alessandra Pavoni as Head of Sales in the UK and Ireland, Amina Trozier as the new Head of Global Delivery for EMEA, and Jose Salas as Head of Partnerships and Alliances for EMEA. We also opened a new office in Hong Kong, further reinforcing our commitment to that region. Selling within our current client base is the next big lever of growth. We have done several things to ensure sustained ARR expansion within those markets. Number one, we maintained a very high level of client satisfaction, where our success is evidenced by our NPS, which is meaningfully higher than 60%. Number two, we set up dedicated sales and relationship teams that focus exclusively on those key clients. And number three, a majority of our new product innovations are directed at these key relationships. As a result of this, we have seen our revenue from current clients continue to expand. Overall, we feel really good about the disruptive power of our platform, the competitive position we have in our industry, and therefore, our ability to grow. Talking about our platform, let's also discuss our approach to leveraging Gen AI for both efficiency and growth. We believe that Clearwater is at the forefront of using Gen AI. As you all know, generative AI models are only as good as the data on which they are trained. Our single-instance multi-tenant platform provides us with an outstanding and comprehensive investment management dataset that can help power our Gen AI work. Our technology teams are already integrating this critical technology to transform internal workflows, training them on the best-in-class reconciliation data we alone have access to, and providing our clients with the ability to interact conversationally with the data in real time. And finally, the next growth lever I would like to talk about is inorganic growth through strategic partnerships and M&A, to complement our organic efforts. While our programs in these areas are still in the early days, we are already starting to see benefits. Our recent alliance with Snowflake exemplifies this effort. Insurance firms, asset managers, and asset owners can now seamlessly access all the investment data together. Think equities, fixed income, real estate, private equity, loans, and private debt, allowing them to capitalize on new opportunities to grow their business. We could not have achieved these exceptional results without continued operational rigor and a strong commitment to continuous improvement. Our ability to invest in these growth initiatives while simultaneously improving gross margins is driven in large part by the steady incremental margin expansion that our operations teams have delivered. And to discuss our operations, I would like to introduce you to our Chief Client Officer, Subhi Sethi. Subhi leads operations teams globally and is responsible for onboarding and ongoing customer service. Not only does her team do a great job delivering on a daily basis, but they are also true partners for our client's growth. With over 25 years of experience leading operations teams for both large and midsize organizations around the world, Subhi has been instrumental in scaling our business and processes across the company. With Subhi at the helm, we have deepened client relationships, improved service delivery, and enhanced our platform's capabilities. With that, I'll hand the call to Subhi to talk about operations and how her team contributes to this powerful engine that drives Clearwater forward.
Subhi Sethi: Thank you, Sandeep. Hello, everyone. It's genuinely a pleasure to be here with you today. As we take a look back at our Q3 performance, I'm excited to share that Clearwater's business model continues to shine brightly as a beacon of operational excellence. Serving clients across five continents, our more than 1,400 relationships demonstrate our commitment to delivering exceptional performance. Every day, we dive into the complexities of managing trillions of assets from fixed income to mortgage loans, private credit, and derivatives. It is a challenging but rewarding space where we leverage advanced technology to reconcile data in real time and provide insights that help our clients thrive. Hence, our goal was to create an operating model that works seamlessly day in and day out, using technology not just to perform, but to outperform. Before we dwell further, I would like to take a moment to welcome four leading organizations to Clearwater, reminding us of the trust our clients place in our comprehensive solutions. First, the American Endowment Foundation recognized the power of our platform to consolidate intricate reporting across tens of thousands of donor-advised fund accounts, providing comprehensive insights to both the foundation and their end clients. Their decision to select Clearwater demonstrates a commitment to precision, efficiency, and a transformative approach to data management, bringing their operations to a new level of excellence. Second, the American Civil Liberties Union made a forward-looking decision in choosing Clearwater to simplify its investment management processes. Incorporating Clearwater LPX and Clearwater for pooled funds, the ACLU is on a path to modernize, transitioning away from multiple legacy systems to a singular expansive Clearwater solution. This strategic move signifies the ACLU's commitment to leveraging advanced technology to enhance fund stewardship, particularly for private fund management. Third, the Alameda County Employees Retirement Association, or ACERA for short, selected Clearwater to achieve greater transparency into its financial data. ACERA's initiative to adopt our automated reconciliation platform reflects their focus on data integrity and a scalable future as they expand their alternatives portfolio, along with the understanding of the value proposition and efficiencies that Clearwater will deliver. Last but not least, LuxNordic Wealth Management is an asset and wealth management firm in Luxembourg that switched from legacy tools to Clearwater to leverage our platform's advanced order management, portfolio management, reporting, integrated client web portal, and comprehensive asset class coverage. Clearwater perfectly aligns with LuxNordic's wealth management focus and goals of elevating its market position and enriching its distinctive offering. I also want to celebrate some incredible milestones that reflect our operational philosophy. Employee Reassurance Corporation. We recently onboarded ERAC, a GE Aerospace company, onto our platform. I want to express my heartfelt gratitude to both teams for their hard work and collaboration. It is this kind of partnership that we truly value, and I'm eager to see how they benefit from our best-in-class solution. A large US insurer. I'm thrilled to announce that a large US insurer is now live on our investment accounting platform. This transition has transformed their operations, replacing cumbersome manual processes with streamlined workflows. They're already feeling the positive impact from enhanced analytics to lowered costs. A European global financial firm. In under six months, we welcomed another European global financial services leader to our platform to provide effective risk and compliance oversight for their wealth management business. This achievement empowers them to enhance client service and boost productivity, and I couldn't be prouder of our team for making it happen so swiftly. Transitioning to our guiding principles, when I took on my role at Clearwater four years ago, I knew we needed to sharpen our focus on the principles that drive us forward. I would like to discuss the very DNA of our organization, which has been instrumental in propelling us forward. First and foremost, our global capacity ensures that we deliver effectively for our clients no matter the client's location. To best illustrate this, let's discuss data ingestion and normalization. As you can imagine, data comes to us from thousands of sources globally at all hours of the day. By having centers in Noida, Edinburgh, and Boise, we effectively run a 24-hour operation when one team hands off to the other seamlessly, and the client gets a reconciled portfolio within hours of us receiving the data. This would have been incredibly hard without these three centers. However, client servicing is usually local, and that allows customers to get responses to their questions locally in near real time. Let's discuss leadership. As the company has become global, it was very important to build a leadership team that increased client proximity and included industry veterans who could build trusted relationships. I'm happy to report that our leaders have deep industry expertise and experience in managing large client relationships. Domain expertise is another area we have focused very heavily on. Our teams are dedicated to understanding and addressing each client's unique needs, a skill that's both art and science, given the complexities of asset classes we deal with. For example, a mortgage loan reconciler will know exactly how many commands it takes to provide an accurate figure in the portfolio, and similarly for derivatives. We've established systematic ways to monitor and measure the number of commands on Clearwater's system, with the ability to drill down and take action in real time. A tiered delivery model aligns our delivery to the unique size and complexity of each client, demonstrating our commitment to bespoke services. And last but not least, continuous improvement. This is where we truly excel and something which I'm very passionate about. For example, we used to resolve a client inquiry within six hours, and using a continuous improvement mindset, this has been cut down to two hours. Today, with Gen AI, we're resolving queries in near real time. This leap forward means a client is just a click away from creating an account or understanding intricate calculations like book yield, all while receiving relevant, timely insights with our quick platform. We have made tremendous advances in the integrated use of Gen AI across our platform, and I'm happy to report that an increasing number of our inquiry volume has been deflected using Gen AI. It has also made our team members incredibly effective and productive. These five principles aren't just words to us. They are the heartbeat of our operations and shine through in our exceptional outcomes. Our operational best practices empower our clients with daily transparency and simplified processes, translating into an impressive 99% gross revenue retention rate, something we are incredibly proud of. Timeliness and accuracy are cornerstones of our service, achieving auto reconciliation for over 90% of transactions with up-to-the-minute data at their fingertips. Our clients can make investment decisions with utmost confidence. Now changing gears, we not only deliver every day, but we also anticipate what's on the horizon. To give you a sense of our forward-looking mindset, consider how we are gearing up for 2025 regulatory changes from NAIC. With eight substantive guidance changes, 27 reporting changes, and the introduction of 24 new data elements, these changes are massive. While others are just getting started, Clearwater was the first to market with these updates, showcasing our commitment to innovation and leadership in the industry, and demonstrating how our technology adapts and remains invaluable. We adopted a tailored approach for approximately 600 insurance clients, successfully automating bond classification and data gathering. Our work empowered insurers to swiftly identify and reclassify bonds while offering customizable reports that enhance transparency and efficiency. A proactive approach rooted in deep industry expertise cements our role as a trusted partner, continuously delivering tremendous value to both our clients and our shareholders. Let me take you through a recent example of how our clients closely work with us to deliver on value. In Q3, we launched a commercial paper issuance tool, making our first foray into the debt side of the corporate balance sheet. Historically, commercial paper has been issued and managed entirely manually, relying on faxes, telephone calls, and emails to execute. Our commercial paper issuance tool replaces these outdated manual methods with a suite of sophisticated modules that allow institutional investors to gain a real-time panoramic view of their CP issuance program. Last but not least, we believe what gets measured gets done. Every day, our operation teams track key metrics, including auto reconciliation rate, the number of data models and securities, the number of commands, the frequency of client inquiries, and resolution rate, among many others. We share these insights with our clients every day, ensuring that they are as informed as we are. Our remarkable 60+ net promoter score reflects our dedication to meeting and exceeding our client's expectations. I would also like to talk about the importance of community and exchange of knowledge, as demonstrated by our recent Clearwater Connect event. This occasion brought together nearly 600 operations and finance experts from around the world. Connecting face-to-face was a highlight for our team and truly underscored our commitment to reshaping the industry together. We also celebrated our excellence award winners and launched our inaugural Women in Finance networking breakfast, creating a space for connection and empowerment in our community. And now some closing thoughts. As we continue to navigate a changing financial landscape, please note here that our focus on operational excellence remains steadfast. We are here to support client growth and confidently tackle the challenges and opportunities ahead together. Now I'll hand the call over to Jim to dive deeper into our financial results. Thank you for your time.
Jim Cox: Thanks, Subhi. Welcome to the call. And thank you on behalf of all of our shareholders for your leadership in delivering these tremendous results. I'd like to quickly discuss our Q3 results, provide Q4 guidance, and then spend the majority of my time sharing our perspective on the proposal we will be providing to shareholders to terminate our tax receivable agreement, or what we call the TRA agreement. Our third quarter results were outstanding and continued to build upon the impressive momentum from the first half of 2024. Our key metrics were exceptional across the board in Q3, with multiple record highs. We comfortably outperformed our revenue and adjusted EBITDA guidance in Q3, with a $2.3 million beat over the midpoint of our revenue guidance and an equivalent $2.3 million beat over EBITDA guidance for the quarter. These results underscore the profitable economics driving Clearwater's strong performance and the efficacy of our growth initiatives. The strong EBITDA, in part, generated record high free cash flow of $48.1 million in Q3. This represents an increase of 55.6% from last year's Q3. In addition to the strong EBITDA, positive working capital changes in the quarter also helped free cash flow, as our days sales outstanding decreased to 80 days from 89 days in Q3 of last year. We ended Q3 with $336.7 million in cash, cash equivalents, and investments, and total debt was $46.6 million, thereby resulting in net cash holdings of approximately $290 million. This strong cash generation puts us in a prime position to make strategic investments or reward our shareholders. We increased our net revenue retention rate to 114% this quarter. This is a monumental accomplishment and, frankly, surprised us. It represents a notable increase from the 110% in net revenue retention we recorded last quarter. This meaningful increase is a reflection of our continued progress in growing with our clients, as approximately nine points of the contribution to NRR 114 related to the onboarding of additional assets and cross-selling new products to existing clients. Additionally, we believe the interest rate environment from the Fed rate cut in September led to an incremental increase in AUM on the platform of approximately 2% over the gentle tailwind we had observed in the June quarter. Finally, we achieved solid GAAP net income of $4.8 million in Q3, versus a GAAP net loss of $2.3 million in Q3 2023. The GAAP net income was driven in part by lower year-over-year equity-based compensation expense. We heard from investors that the level of equity compensation and achieving GAAP income was important. It is rewarding to achieve profitability on both a GAAP basis as well as a non-GAAP basis throughout the first nine months of 2024. For the full year 2024, we have again raised our revenue guidance to $445.5 million, representing an improved year-over-year growth rate of approximately 21%. This full-year guidance incorporates both the outperformance in revenue in the third quarter and our view on Q4. For the fourth quarter 2024, we expect revenue to be at least $120.2 million, representing a year-over-year growth rate of approximately 21%. This guidance does not assume any incremental market-based AUM expansion in the fourth quarter. For the full year 2024, we have also raised adjusted EBITDA guidance by $2.5 million, an increase of $2.5 million from our prior guidance. This provides an adjusted EBITDA margin of approximately 32% for the full year and a powerful 35% increase in EBITDA year-over-year. For the fourth quarter of 2024, we expect adjusted EBITDA to be $38.5 million, representing an EBITDA margin of, again, approximately 32%. Today, along with these stellar third-quarter results, we are announcing that we have filed an 8-K and related proxy statement related to the tax receivable agreement between the company and our pre-IPO shareholders. In the proxy statement, we are asking our unaffiliated stockholders to vote on a proposal to terminate the tax receivable agreement by paying an aggregate of $72.5 million to the TRA counterparties and certain pre-IPO members of management. We will only terminate the agreement if a majority of the company's unaffiliated stockholders, a group that excludes all parties to the TRA and all TRA bonus holders who we refer to as TRA participants, as well as all named executive officers and those of our directors who are affiliated with the TRA participants, vote to approve the termination. Said another way, we will not terminate the TRA unless a majority of the company's unaffiliated stockholders vote to approve the termination. The proxy statement has additional details, and we encourage you to review it. But I'd like to underscore why the board and management believe the termination of the TRA is in the best interest of all shareholders. Let me start with some background. In connection with our IPO, the company entered into a TRA, which provides for the payment by our public holding company to the TRA participants of 85% of the amount of any tax benefits that the company realizes or, in some cases, is deemed to realize as a result of certain tax attributes. One of those attributes is any increase in the tax basis of the net assets of C1 Holdings, which is our less than wholly owned subsidiary, that result from exchanges of C1 Holding units that TRA participants make for shares of Class A common stock in our public holding company. In 2022, we recorded TRA expense of $11.6 million. In 2023, we recorded TRA expense of $14.4 million. Through the first nine months of 2024, we have recorded $11.5 million of TRA expense and expect the full-year TRA expense to be approximately $17 million absent any settlement. We have not yet paid to the TRA participants the TRA expense owed to them for 2023 or year-to-date in 2024. And as of September 30, 2024, we have liabilities of $28.8 million recorded on our balance sheet related to the TRA liabilities incurred in the past. While the amount and timing of future TRA payment obligations is inherently uncertain and is dependent upon the amount and timing of future taxable income and our share price, among other things, we estimate the potential sum of future TRA liability from past exchanges and hypothetical future exchanges as of September 30, 2024, to be $614 million, of which $417 million relates to historical exchanges, and $197 million is related to future exchanges at the company's share price as if exchanged on September 30, 2024. In contrast, if termination of the TRA is approved by a majority of the company's unaffiliated stockholders, the company will settle all TRA liabilities, the unpaid $28.8 million on the books as of September 30, and all future estimated TRA obligations for a total of $72.5 million. We believe this transaction will have a number of benefits for the company. First, it will generate significant savings compared to the cumulative expenses we expect we will incur over the life of the TRA. Second, once terminated, the company will not have to utilize cash to fund ongoing TRA obligations. This will positively impact the company's future operating cash flow and potentially the company's valuation to the extent the company is valued based on cash flows. Finally, terminating the TRA will eliminate the need to record a large liability when or if the company were to release the valuation allowance we currently maintain on our deferred tax asset balances. By eliminating the potential to record the liability, we believe the company has greater ability to complete strategic transactions and provide shareholders greater certainty about the company's future financial performance. The payments made to TRA participants are not conditioned upon those TRA participants continuing to hold any ownership interest in C1 Holdings or in the public company. And given the company's current strong cash position and the fact that certain of the TRA participants remain significant shareholders and hence are aligned with the interests of other shareholders, which may change in the future, we believe now is the right time to terminate the tax receivable agreement. For example, at the beginning of 2023, there were over 177 million Class C and Class D shares outstanding of the company's common stock, which were held exclusively by TRA participants. That number reduced to approximately 115 million Class C and Class D shares outstanding at the end of 2023, and today, there are less than 75 million Class C and Class D shares outstanding. For these reasons, we believe it is a good and shareholder-friendly use of resources to execute this TRA termination at this time. We hope you agree, and we are all very happy that we are putting the ultimate decision whether to proceed or not to you, our shareholders. With that, I'll turn it over to Sandeep to provide some closing thoughts.
Sandeep Sahai: Thank you, Jim. We are very pleased with the Q3 results and inspired to carry our business momentum forward. As we have noted, our key metrics were exceptional across the board, with multiple record highs. We are excited about the continued strides we are making across the business and remain steadfast in our mission to deliver the world's leading investment management platform for the investing world.
Operator: Great. Alright, everyone. We will now begin the question and answer session. If you would like to ask a question, press star one. As a reminder, if you are using a speakerphone, please remember to pick up your handset before asking a question. We will pause here briefly as questions are registered. Our first question comes from the line of Brian Schwartz with Oppenheimer.
Brian Schwartz: Yeah. Hi. Thanks for taking my question. Sandeep, just trying to dive into the booking strength that you are showing here this quarter. Did you have any outsized mega deals, or did any markets have an outsized impact, or was the booking strength pretty broad-based across your core end markets?
Sandeep Sahai: Yeah. Thank you, Brian. So, you know, in getting ready for this call, I must admit we looked for that. We looked for geography and tried to think if international grew faster or if the US domestic business grew faster, or did we get a lot of deals from current products or new products? And the fact is that what we found was it was very, very broad-based. So there was not at all a situation where there was one deal or two deals. It was across industries. It was across geographies. Our new products continue to bring momentum to booking. I think we had said in Q1, if I remember correctly, that a quarter of our booking was from these new product innovations. And that is almost exactly that number even now. So, again, it was new logos. It was back-to-base sales. Nothing really stands out, which I would point to.
Brian Schwartz: Thank you. And the follow-up question I have for Jim, you know, the NRR result that you are reporting here is pretty close to your goal for 2026. So how should we think about that 115% ceiling? How hard is that ceiling, or, you know, could that ceiling potentially be a soft ceiling? And, you know, there is potential that, you know, the back-to-base motion could perform even better than what we were previously thinking with that goal that you gave us. Thanks again for taking my question.
Jim Cox: Thanks, Brian. So, I think that we continue to believe that NRR 115 in 2026 is a very achievable goal. I think we are obviously buoyed by these results, in particular, the fact that 9% of that 14% was from new products and increased wallet share from clients on our platform. That was 3% higher than last quarter. But remember, a lot of these new products are maturing. They are not fully mature. And so to think about the ability to perform with respect to those consistently quarter after quarter after quarter, I think that we would like to see more consistency before we know there is a straight line. I think that we all laugh as soon as we get close to achieving any of these metrics that we laid out last September, we start thinking, do we need to move to the next step? And I think we will stay focused on delivering 115 consistently, reliably, durably. That's what we are really focused on, is that durable, reliable growth. And focus on achieving that. Next question, please.
Operator: Thank you for your questions, Brian. Our next question comes from the line of Andrew Schmidt with Citi.
Andrew Schmidt: Hi, Sandeep, Jim, Subhi. Thanks so much for having me on the call here. I want to go back to NRR. Obviously, a great result this quarter. And you mentioned onboarding of additional assets. It sounds like that was a nice surprise relative to expectations. Can you just talk about what drove those wallet share wins and to what extent that, you know, obviously, still a lot of opportunity to gain wallet share, to what extent that momentum can continue? Thank you very much.
Jim Cox: Yeah. So wallet share really comes in two ways traditionally. Number one is with our large asset management clients as they grow, we grow with them. In fact, that's one of our large value propositions when we think about selling to their business. How can you grow and expand your business? That's one area. Another area can be through M&A and those sorts of transactions. And those were helpful as well as cross-selling the new products that we have, including LPX, MLX, and those variety of products. One other thing just to give a little more color to folks. You know, in Q2, we had said, hey, we see a gentle tailwind, a small tailwind from AUM. That which would be, you know, that activity that we actually aren't selling necessarily for, but we see growth in those clients. That can be difficult to isolate the market impact of that. But we were able to kind of do some work, and we feel very confident that in September, we saw a 2% increase in that relative to what we saw in the June period. So I think that also helped on the NRR 115 just to be transparent with folks.
Sandeep Sahai: Yeah, Andrew, I would just add that obviously, we are spending a real amount of money on new product and innovation. And 40% of all that new product innovation goes into current clients. So that is a back-to-sales motion, and that obviously helps the NRR cause. And, like Jim said, these aren't mature, so they aren't reliable growth levers. But we absolutely expect that to happen in due course. And which is why we've always said that, you know, Q1 2026 is when you want to try and achieve 115 reliably.
Andrew Schmidt: Got it. Thank you so much for that. And then, I know, Gen AI, the quick modules were a big focus of Clearwater Connect. It sounded like there's a little more clarity on how you want to monetize those. It seems like that could be a big opportunity when we think about 2025 cross-sells versus 2024. Could you just talk about the opportunity there and, you know, any additional details on how you're planning to monetize the AI functionality would be helpful. Thank you so much.
Sandeep Sahai: Thank you, Andrew. And on that question, look, there are two parts to this. One is does it make our platform and our operations much more efficient. On that, we have lots and lots of proof points. And I think Subhi, in her remarks, was talking about deflection. So a client wants to ask a question, and they have a Gen AI tool on their platform, and they ask the question of the tool. Sometimes they're happy with the answer, and sometimes they're not. But if they are happy with the answer, that question never comes to us. And therefore, we don't have to go out and invest people's time to respond to that question. So on the efficiency side, I think there are many use cases, and Subhi and her team have done a great job of using it to drive gross margin. The same thing happens in data and reconciliation. That can the Gen AI tool give us ideas about how to reconcile, and if that is correct, then we accept it. And that saves a lot of time. On the other side, which is revenue growth. Right? So that is the one we have talked about a little bit. And one of the big areas where we are trying to use this is insights. Insights on our product. And I think at Clearwater Connect, we talked about that, and frankly, it was one of the most attended sessions because of the level of interest. At this time, we launched our product. And when did we launch this? September 9. So we launched it in September. And you know, we have a little bit more than ten clients who are paying customers. Now this is only for the corporate market, Andrew. We expect that to take that out to the insurance clients at a later point in time. So we are excited about it. But if you ask me, hey, is it giving you 5% of growth? No, it's not there at all. If you ask me, hey, is it contributing meaningfully to gross margin? Yes, it already is. Now both those levels are not like, oh, this is the end of what Gen AI can do. I think it's very, very early in terms of being able to drive revenue or, frankly, even improve margins. So we are big fans of it. We continue to make a real amount of investment in it. And, but we see the benefit of that literally every quarter.
Andrew Schmidt: Got it. Thank you so much, Sandeep.
Sandeep Sahai: Thank you, Andrew.
Operator: Thank you for your questions. Our next question comes from the line of Yun Suk Kim with Loop Capital Markets.
Yun Suk Kim: Great. Thank you. Congrats on another solid quarter. Jim, just going to continue the theme on the NRR here. Obviously, you saw a 9% uptick or contribution from the new products and asset types and whatnot. How much of that 9% was driven by new product versus simply new asset types and more asset volume? You know, we're trying to figure out how sustainable this strong uptick is going forward. So if you can give us, like, at a high level, at least, what you were expecting around the NRR to trend in the near term?
Jim Cox: So I think the question of what's the trend, obviously, NRR 114 was a very strong trend. And sequentially strong. I think I mentioned there were a couple of points from the AUM tailwind in September from that rate change. But I think that if we live in this range for the next quarter to two, I think that we're comfortable in this range. Give or take, you know, one or two points.
Sandeep Sahai: Yeah. I think the only point I would add is that we've historically never ever looked at the interest rate or the impact of that. We've always never, you know, either talked about it or discussed it or built it into our models. So I think, you know, if you stay around this range over the next two, three quarters, I think that would feel good. But if the product continues to do more and more, that will make us feel more satisfied about the trend. Having said all that, let me say we should be happy about the 114. Very happy with the 114, I would say.
Yun Suk Kim: Yes. Definitely. Thanks for that answer. Sandeep, if you can just talk about the mix between asset managers and insurance companies. Is that mix skewing towards one or the other? And if it is, is that changing your go-to-market and, you know, overall go-to-market around the adoption of your newer products? Thanks.
Sandeep Sahai: Yeah. So, you know, we were just looking at that data. And there really isn't within 1% of the earlier distribution. So no real change. I think the question was asked earlier about, you know, this really high-quality ARR growth. Which industry did it come from? Was there one or two deals which made the difference? And it's just been really broad-based. Frankly, even on geography, we try to see is there something on the geography side which contributed unnaturally to it. And not true. So, yeah, the movement of within insurance and asset managers and asset owners is literally within a percent of what it was a year back.
Yun Suk Kim: Okay. Great. Thank you so much.
Sandeep Sahai: Thank you.
Operator: Thank you for your questions. Our next question comes from the line of Rishi Jaluria with RBC Capital Markets.
Rishi Jaluria: Oh, wonderful. Thanks, everyone, for taking my questions. Nice to see some pretty solid numbers across the board here. I want to maybe first start by better understanding, you know, Jim, you called out the impact to AUM, AUI, from the coming interest rate cut. If we think about maybe the potential for future interest rate cuts, you know, I know historically, it's obviously been a tailwind to overall ARR growth. Under the new pricing model, the subscription plus model, should we maybe be thinking about the sensitivity? You don't have to give an exact number, but, you know, conceptually, right, a 50 bps cut or a 100 bps cut, what sort of tailwind would that have on ARR over kind of the duration of the contract? Maybe help us understand that sensitivity, and then I've got a quick follow-up.
Jim Cox: Well, I think I'd summarize, so I can't give you the exact specifics, but just for those of us who haven't been as familiar with the story forever, when we first went public, we were 100% AUM, and we went up and down. After 2022, we pivoted to what we call the base plus model, limiting our downside and also modifying to some extent the upside. So it's a little bit of a new model for us. And then what I've always said in the past is it also depends on the interest rate change impact also depends very much on the duration and how our clients' portfolios are changing. And as a result of our insights tool, we're able to see that, at least on the corporate side, you know, throughout the summer, our clients moved from shorter duration into much longer duration, and so you have to look at that long end of the yield curve. I'll contrast that by saying, back in 2022 under the old model when there were roughly 500 basis points of change where interest rates went up by that amount, that became a headwind of about 500 basis points. So we think, directionally, it's far less than that. But that was a very significant move where the entire rate curve pivoted. So look, I think it's a tailwind. Obviously, we're happy with interest rate cuts because it is a tailwind. It hasn't been that meaningful. We focus on the underlying growth drivers of winning new clients, doing more for our clients, and driving that. And that drives a durable, reliable, 20+% growth algorithm for us. But, look, we're happy about it, and it's a bit of a tailwind. And we think under our new contract structures, the positive impact of that is somewhat less than what we saw back in 2022.
Sandeep Sahai: Rishi, you know, we are not giving you a straight answer with numbers because let's say the interest rate goes down by 50 basis points. That doesn't translate into anything except that what does it do for bonds? Does it take the price up by X percent? What do they do for bank loans? What does it do for derivatives? So you have to look at all the asset classes and see what the impact on the price of that security or asset class was. And then what are the distributional platforms? And therefore, effectively, how much does AUM go up? But to the other part of your question, we would capture most of it. So when you think about the contract structure, if it went up, let's say, by 1%, we would capture most of it. Right? But how much exactly the impact of a 50 basis point cut is on all of these asset class pricing, that's just hard to sort of lay out.
Rishi Jaluria: Alright. No. Understood. That's a helpful framework to kind of think about. And then in your prepared remarks, you both talked about wanting to preserve flexibility for both partnerships and M&A. Obviously, M&A has been pretty successful, especially over the past couple of years with Joplin, Wilshire, and a few others. I want to ask a little bit about partnerships, though. You know, really excited to see that Snowflake partnership in the past week. Seems really exciting. Just kind of going forward, especially as you leverage more Gen AI analytics capabilities, how do you think about your ability to work with other vendors and have partnerships similar to what you have with Snowflake and ultimately just add more value for your client? Thank you.
Sandeep Sahai: Yeah. So I'll answer one part and maybe Subhi can talk about Snowflake more specifically. But look, one of the big reasons for wanting to go to AWS was that once you have it on a platform, which very many people can use and access, then you can open up the platform. As you might know from before, we are very committed to an open architecture. We think closed architectures do not drive the market, and we feel an open architecture where you can work with other technologies in the industry is the powerful way to think about it. And that applies to order management systems, portfolio management systems, risk management systems. And so a lot of our energy in 2025 would go into really establishing deep relationships that can help us grow, but we want to be part of that ecosystem. We don't want everything end-to-end necessarily to be on Clearwater. But if a client wanted that, they would have that option. So we would be able to provide JUMP, we will be able to provide Wilshire and our own risk technologies, and, obviously, our accounting platform. So, Subhi, could you just talk a little bit about Snowflake and what that does for clients?
Subhi Sethi: Sure, Sandeep. As far as the Snowflake partnership is concerned, it enables our clients to access Clearwater data through the entire Snowflake Lake, which means that in case our client is looking for a single pane of a reporting solution, a single pane of glass, you know, they can run their data through that, and our partnership enables us to kind of the point which Sandeep was alluding to on the open architecture and create one common view about how their portfolio is looking like, what is their risk looking like, how is their performance looking like. So that has, we believe, will give us an update for our clients and solve, you know, reporting solutions and different panes of glass for our clients, which, honestly speaking, our clients every day ask us. That's their biggest pain point. Needless to say, Snowflake is also a great client for us, so that partnership works both ways. So I'm very happy to say that.
Jim Cox: Well said, Subhi.
Sandeep Sahai: Thank you, Rishi.
Rishi Jaluria: Alright. Wonderful. Thank you so much.
Operator: Thank you for your questions. Our next question comes from the line of Michael Infante with Morgan Stanley.
Michael Infante: Hey, guys. Thanks for taking my question. Apologies for beating a dead horse here on the interest rate dynamic. I just want to make sure I understand the 2% benefit relative to the 50 basis point that funds come like, why was it so strong? Like, I would imagine a cohort of your insurance clients aren't able to pivot their books as aggressively towards the front end of the curve, whereas the asset management and corporate clients are. So maybe just any high-level views on why the AUM impact was so pronounced.
Sandeep Sahai: Yeah. I think the thing you gotta think about is don't index too much on the 50 basis points. Index on what did that do to the price of municipal bonds? What did that do to the price of corporate bonds? What did that do to bank loans? And so you gotta think about the price of assets. And as your pricing moves because of the interest rate, but also sometimes the expectation of a change of the interest rates. So all of that combines to give you a change in the price of the asset. And if the asset price goes up by 2%, let's say, we would capture much of that as growth in ARR. Because our billing to them is based on, obviously, we limit the downside, but the upside is shared. If it did go up by a certain percent, we would capture that. So there isn't a mathematical way to calculate the one or the other. What it does is increases the price of assets, and that reflects in the AUM, and that reflects in the ARR. I don't know, Michael, if that's clear or not, but we're happy to sort of obviously answer and try to provide more clarification.
Michael Infante: No. That's helpful. And maybe just a quick follow-up on the implied Q4 revenue outlook. Any sort of puts and takes just in terms of why the guide to the slightly slower growth rate in the fourth quarter, it like the prior year comp is a little bit easier than what you faced in Q3. And, obviously, the overall demand environment and the new product strength is really starting to kick into high gear here. So just any high-level commentary there would be helpful. Thanks.
Jim Cox: Yeah, Michael. I think that this is Jim. If you look at our history of what we do, you know, we think it's very important for us to deliver on what we guide, and that's been our history. And I think we feel that way. In fact, I said at least the revenue number for Q4. For the guide there. So I think we feel confident, but I think after such great results in Q3, I think we feel comfortable with where we sit in looking at Q4. And we'll talk about 2025 after we report Q4.
Sandeep Sahai: I just want to add. I don't think we should interpret that as we see any weakness or we see any softness or comfort. We just feel at this point, it's a good guide.
Michael Infante: Thank you both.
Operator: Thank you. Thank you for your questions. Our next question comes from the line of Peter Heckmann with D.A. Davidson.
Peter Heckmann: Hey. Good afternoon. Most of my question has been answered, but I was wondering if you could comment a little bit about the longer-term roadmap and the functionality that you're looking to either build or acquire as you increasingly target that four basis points in investment management technology spend.
Sandeep Sahai: Yeah. Thank you, Peter. So, like, this is my view because we're sitting here building out the planning for 2025. I just have to sort of firstly say that I don't think directionally very much is changing. You're gonna see us continue to make a real amount of investments in alternatives? Yes. We are. You're gonna see us continue to build out a JUMP offering to provide a high-quality order management system and a portfolio management system? Yes. We will. Do you expect to see us continue to do more work on the risk and compliance space? Yes. We will. We obviously want Wilshire for that, and are we gonna continue to build that? Yes. We will. So I do think a lot of it is about being able to provide clients an end-to-end solution should they want it. But I think it's really important for us to be thinking about ourselves as an open architecture. Historically, companies which have tried to build closed systems don't work. What succeeds over time is really what are open systems. So again, opening up a platform to allow partnerships with multiple order management systems, multiple risk systems, multiple regulatory reporting systems, all while having one data plane and one security master is what we are building. So, you know, are we building a little bit more for the international markets? Yes. That is more nascent here. Are we building more for asset owners? Yes. We are. And so, but those are just tweaks, I think, based on what we think about the market. But in the GTM, I think little will change. We'll obviously invest more resources as we continue to grow. We'll invest some more money in R&D. Do we continue to expect to invest 60% of all R&D dollars on growth? Yes. We will. Are we happy with the innovation? We are actually never happy. We are quite satisfied with where we are, and we expect all these new innovations to mature more through all of 2025 and get us to a much more durable position by the beginning of 2026. Jim, would you add anything to that?
Jim Cox: Perfect. Yes.
Peter Heckmann: Okay. That's all I have for this evening. Have a great rest of the day.
Sandeep Sahai: Thank you, Peter.
Operator: Thank you for your questions. Our next question comes from the line of Alexei Gogolev with JPMorgan. Your line is now open.
Alexei Gogolev: Thank you. Hi, Sandeep, Jim, Subhi. Also congrats on very strong results. Jim, I had a follow-up question on the guide. Sounds like you're suggesting that your Q4 guide may be conservative, and it does imply on EBITDA margin that you're looking for lower EBITDA margin in Q4 versus Q3. So I was wondering if there is anything that you anticipate in the fourth quarter or maybe some elevated expense. And in addition to that, are you still committed to delivering 200 bps of EBITDA margin expansion next year?
Jim Cox: Let me start with that last thing, Alexei. A hundred percent, we are committed to delivering at least 200 basis points of margin expansion next year on wherever we end here in 2024. Now let's talk about Q4. Last quarter, we talked about investing a bit in the second half of this year to fortify our growth rate not only in 2024 and 2025 but to make the investments now while already delivering on the 200 basis point improvement in 2024, exceeding that in 2024. And using some of that expansion and the efficiency that Subhi and her team have driven to make incremental investments are gonna fortify that growth in the future. Sandeep mentioned four names in his prepared remarks just on the international go-to-market side. We continue to see that we're adding more folks on the go-to-market side, including in Q3, we added Flor, our Chief Marketing Officer, but I would also say that we are looking for adding multiple people in the go-to-market and product side in that expertise. I think we're very happy with how we've built out the partnership program. And that's enabling us to do some of the things that Sandeep talked about. And so we're looking at Q4 as an opportunity to build to that. I would say also the revenue beat in Q3, it flowed straight through the EBITDA in Q3. And when you normalize for those, you'll see that, you know, the guide there was 32%. And so I think we feel, look, it's a privilege to have optionality to think about investing for the long term. And that's how we've approached the fourth quarter.
Alexei Gogolev: Great. And then second question either to Sandeep or to Subhi, this Snowflake integration that you recently announced. Could you elaborate a bit more on the potential financial impact? Do you think you could see any leverage on OPEX from this integration, perhaps maybe lower R&D expense?
Sandeep Sahai: Yeah. This is, look, eventually, absolutely. I think right now, we deliver files if you, what am I saying? Subhi, would you want to just take this message?
Subhi Sethi: I think that, this is Subhi. There are two places or probably directionally where we would have a way where we would see a positive impact. Number one being how when the new data sources or new platforms or new technologies come in, how do you integrate this? So that was a little bit of a setup effort which was required to be able for us to kind of make sure that the data flows. So that over a period of time, we see going down and having a positive impact. The second being on the cycle times of onboarding. As we kind of onboard new assets and as we onboard new folks, and as we onboard the new data sources, I think that itself has a cycle time of its own. And thereby impact revenue recognition. So I anticipate that as we continue to strengthen this partnership and the volume goes there, you will see a nice uptick in the implementations and onboarding cycle times and thereby revenue.
Sandeep Sahai: I think I would just say that, look, I think we did it first and foremost for client delight. We want clients to be really happy about it. Secondarily, we're gonna save us money. Yes. I think what Jim said is true on both counts. I think he said that we're committed to doing 200 basis point improvement next year on EBITDA but also we had committed to improving gross margin 50 basis points. And we committed to doing that too. So I feel it helps in gross margin, but really the reason for doing it was our clients are gonna be meaningfully happier when they set up new assets and during onboarding.
Alexei Gogolev: All clear. Thank you.
Jim Cox: Thanks, Alexei.
Operator: Thank you for your questions. Our next question comes from the line of Gabriela Borges with Goldman Sachs. Your line is now open.
Gabriela Borges: Hey, good evening. Thanks for taking the question. Sandeep and Jim, I wanted to ask you a little bit about your 2025 planning process. More specifically, I'm thinking back to Investor Day and the targets you put out there. And now all the progress that you've highlighted in the prepared remarks, not just this quarter, but over the last half of the quarters. I think the easy answer here on what are your priorities in 2025 is just more of the same, but I'm wondering if there's maybe one or two priorities that have incrementally surfaced to the top given all the progress that you've made over the last year. Thank you.
Sandeep Sahai: Thank you, Gabriela. Look, I think that's a really good observation. I do feel very differently from the Investor Day about our operations. It works very well, and this is not me just saying it. If we look at the gross margin for this year, it's 110 basis points ahead versus we had talked 50 basis points ahead. We talked about, you know, EBITDA being 200 basis points ahead and it's 290 basis points ahead. So I feel a lot more confident about the ability to continue the scale. And that, I think, gives us a bit of a license to be more ambitious about who Clearwater could be. And so what you, I think Jim also referenced that a little bit and said, look, we have $290 million of net cash. And that gives us optionality. So I think what has changed in our thinking is in 2025 and beyond that, how do we pivot to take a more aggressive position, if you will, in the market. Why would we want to do that? One is our clients are really happy. So when you have an NPS like we do, and they have real pain, it sort of gets them to think about what else can Clearwater do. So I do think on the margin, you would see us be more aggressive on opportunities of partnership opportunities on M&A, and frankly, opportunities of using technology like Gen AI to continue to improve our performance even faster. So focus on growth, but with somewhat more aggression on what we might be tomorrow or the day after.
Gabriela Borges: That makes sense. Thank you. That's all for me.
Sandeep Sahai: Thank you, Gabriela.
Operator: Thank you for your questions. Our next question comes from the line of Dylan Becker with William Blair. Your line is now open.
Dylan Becker: Hey, Sandeep, Jim, Subhi. Appreciate the question here. I'll just ask one for the sake of time. But maybe, Sandeep, for you, wondering if you could talk to the momentum you're seeing with upmarket insurers. I think you called out another large win in the quarter. There's obviously a substantial opportunity to drive adoption here, but maybe thinking about the nuances here and the progress you're making in that segment of the market as they maybe have a growing propensity to spend and expand. Excuse me.
Sandeep Sahai: Yes. So, look, I think we get excited when we take a large client, a large insurer who thinks about onboarding in the two, three, four-year time frame, and we can bring them live in a year or twelve, fourteen, fifteen months. And so that's exciting, and that's why we announced it because you can take a significant insurer and bring them on board that quickly. And so that's why we pointed out. Look, I think there continues to be a real opportunity in that market. There is pain, as you all know. There is more pain from alternative assets as they continue to invest more and more in alternative assets. That's why you've always seen us talk about we are building more and more there. But if the basic platform just works, the basic platform works, it does well, it scales well. So, really, why are we spending all of this money on R&D? Well, this is the reason that I do think alternative assets continue to grow, and our ability to service them well is important. And, so, yeah, I think on the margin, I think large insurers is a big target area for us. We continue to win there, and we hope to continue to win there over the next two, three, four years.
Dylan Becker: Great. Thanks, Sandeep. Congrats.
Operator: Thank you for your question. Our next question comes from the line of Michael Turan with Wells Fargo. Your line is now open.
Michael Turan: Hey. Great. Thanks for having me on. And I'll keep it to one as well just given the time constraints. But you've gotten a number of questions just on the retention characteristics and the uptick. I wanted to just spend some time more specifically on the base plus business model, which the team did a remarkable job of executing on in a tougher environment previously. So maybe you can just help level set for us scenarios that the base plus model now enables? Is it still AUM-based change on top of the more stable base? I think just given we're now seeing trend lines improve, want to go back to various scenarios there. Understand if the upside scenario is still as robust as it was in the prior model. And maybe just spend some time revisiting that to encapsulate some of the commentary throughout. Thanks.
Jim Cox: Yeah. Thanks, Michael. So I think it has been successful. We obviously implemented it in a time when we were worried about assets going down. And it stabilized the business during that period of time. We still capture the upside as far as AUM. So we have that is what the plus is for. As assets grow, we have that basis. I think the other thing that we did that has turned out to be far more strategic is that we also defined what we sold at the time of sale to the client. And that has enabled us to really enter into this multiproduct upsell program. You know, if you go back five or ten years, we just built everything onto a platform and just added it and rolled forward. And so I think when you see some of the upside, of course, there's a tailwind from AUM. But you're also seeing the tailwind through the cross-sell of these new products. And it helps everyone because we're commercializing these products, we're able to understand the ROI and really invest in doing more for our clients. We've been able to turn things from what was a burden collectively for all of us into an opportunity for both of us, both our clients and for Clearwater. And I'll just use one small example of this. NAIC, it's, Subhi described it all. Where this was a significant change. And we've been able to enable our clients to execute with very little burden on their behalf to this change, to this significant regulatory change for them. And, guess what? They're very comfortable, you know, paying for that service and for us to solve that problem for them. So that's kind of a small example of a real nice win-win.
Michael Turan: Okay. It's great detail. Thank you.
Jim Cox: Thanks.
Operator: Thank you for your question, Michael. That concludes today's call. Thank you for your participation, and enjoy the rest of your day.
Jim Cox: Do you want to say some last words? We're still on. Go ahead.
Sandeep Sahai: Hello. Yeah. I just wanted to thank the Clearwater team. These results were extraordinary, but they are not generated by Jim or myself or just Subhi. It is the team which does that. I also want to take a moment to thank the board special committee, which did extraordinary work in bringing the TRA termination proposal to our shareholders for ratification and a vote. So thank you all, and thank you for your interest in Clearwater.